Operator: Thank you for standing by. My name is Novi, and I will be your conference operator today. At this time, I would like to welcome everyone to the Six Flags Entertainment Corporation 2024 fourth quarter earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. Press star one again. Thank you. I would now like to turn the call over to Six Flags Management. Please go ahead.
Michael Russell: Thank you, Novi, and good morning, everyone. My name is Michael Russell, corporate director of investor relations for Six Flags. Welcome to today's earnings call to review our 2024 fourth quarter financial results for Six Flags Entertainment Corporation. Earlier this morning, we distributed via wire service our earnings press release, a copy of which is also available under the news tab of our investor relations website at investors.sixflags.com. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ from those described in such statements. For a more detailed discussion of these risks, you may refer to the company's filings with the SEC. In compliance with the SEC's regulation FD, this webcast is being made available to the media and general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content on this call will be considered fully disclosed. On the call with me this morning are Six Flags' Chief Executive Officer, Richard Zimmerman, and Chief Financial Officer, Brian Witherow. With that, I'll turn the call over to Richard for some opening remarks. Richard?
Richard Zimmerman: Thank you, Michael. Good morning, and thanks everyone for joining us today. As we close out 2024, I want to take a moment to recognize the incredible work of our team this past year. I could not be more pleased with what we have accomplished, particularly since the completion of the merger. And I have never been more excited about what this company can achieve for our guests, associates, and shareholders moving forward. Looking back at 2024, we wrapped up the year by delivering a record October performance and outstanding fourth quarter results, all while capturing close to half of our target merger-related cost synergies. Through strong revenue growth and disciplined cost management initiatives, we have boosted modified EBITDA margins in the fourth quarter by 650 basis points. Another meaningful step in returning operating margins back to historical levels. By taking decisive actions within days of finalizing the merger, we immediately drove guest satisfaction scores higher, a critically important first step in improving our cost-value proposition and driving demand levels higher. Heading into the 2025 season, early trends indicate consumer demand remains strong for high-quality entertainment experiences. Although it represents a limited sample size, attendance in the first two months of the year is up 2% and sales of season pass units are up 3%. Both positive indicators for the season ahead. Given our strong fourth quarter and the solid start to 2025, at this time, we believe the general economic environment for our consumers remains healthy, with park goers showing a willingness to spend their entertainment dollars on the high-quality and differentiated experience that we offer. With that positive outlook as a backdrop, our integration efforts progressing well, we are targeting adjusted EBITDA of $1.08 billion to $1.12 billion this year, representing an initial step function of growth for our expanded portfolio. Before I ask Brian to provide a closer look at our financial results, let me shift gears for a moment to address the recent wildfires in the LA area. Our immediate concern at the time was for the safety and well-being of our guests, associates, and neighboring communities. We are proud to have supported local first responders, who used Magic Mountain's parking areas for staging crews and emergency equipment during critical containment efforts. We are fortunate that neither Knott's Berry Farm nor Magic Mountain was directly affected. We will continue to monitor the situation closely, assessing any potential impact on our business as we get closer to the core operating season. In the meantime, we remain focused on supporting our associates and local communities through the recovery. With that, I'll turn it over to Brian.
Brian Witherow: Thank you, Richard. Good morning. Thanks to everyone for joining us today. I'll begin with a review of our fourth quarter performance, before providing an update on select balance sheet items as well as early performance indicators for the season ahead. Let me start with operating days. On a consolidated basis, operating days in the fourth quarter totaled 878 days compared with 377 days during the fourth quarter last year. This increase reflects the addition of 538 days from operations at legacy Six Flags parks during the fourth quarter, partially offset by 37 fewer operating days at legacy Cedar Fair parks compared to the fourth quarter last year. This decrease in legacy Cedar Fair operating days was primarily due to the fiscal calendar shift, as the 2024 fourth quarter began on September 30th, and the fourth quarter of 2023 began on September 25th. Moving on to our financial performance. For the fourth quarter, we generated net revenues of $687 million on attendance of 10.7 million visits. These fourth quarter results included $324 million in net revenues and attendance of 5 million visits from legacy Six Flags operations. Fourth quarter revenues from legacy Cedar Fair operations decreased by $8 million compared to the fourth quarter last year, primarily due to 115,000 fewer visits during the period. The decrease in attendance was the direct result of the fiscal calendar shift and the lower number of operating days in the period. On a comparable fiscal calendar basis, legacy Cedar Fair fourth quarter attendance would have been up 461,000 visits, reflecting strong demand for our October events. Along with the outstanding October attendance numbers we produced at our legacy Six Flags parks, these results support our belief that demand for the compelling entertainment we offer remains strong. Looking at fourth quarter guest spending trends for a moment. In-park per capita spending in the period was $61.60, representing an increase of 3% compared to the in-park per cap reported by legacy Cedar Fair in the fourth quarter last year. Approximately 80% of the increase is related to the impact of operations at the legacy Six Flags parks, with the balance attributable to higher in-park guest spending on food and beverage, extra charge products, and merchandise at the legacy Cedar Fair parks. This was reflected by a 3% increase in the average transactions per guest during the quarter, a key performance metric and a core tenant of our long-term growth thesis. It's worth noting that this momentum of positive guest spending trends carried over from the third quarter, underscoring the enduring appeal of our immersive entertainment offerings. For the full year, the average transactions per guest at the Legacy Cedar Fair parks increased 2% with total transactions of more than 40 million, up 1.8 million transactions compared to 2023. Meanwhile, out-of-park revenues for the fourth quarter totaled $48 million, which included $14 million in revenues from legacy Six Flags operations. Out-of-park revenues from legacy Cedar Fair operations decreased by $3 million, the direct result of the fiscal calendar shift. Moving on to the cost front, operating costs and expenses in the quarter totaled $523 million, which included $233 million of operating costs and expenses from legacy Six Flags operations. Fourth quarter costs were comprised of $376 million of operating expenses, $89 million of SG&A expense, and $58 million of cost of goods sold. Fourth quarter operating expenses included $180 million related to operations at legacy Six Flags parks, partially offset by a $13 million decrease in operating expenses at Legacy Cedar Fair parks. The decrease in Legacy Cedar Fair operating expenses was largely related to the fiscal calendar shift. Meanwhile, fourth quarter SG&A expenses included $27 million from legacy Six Flags operations, offset by a $4 million decrease in SG&A expenses at legacy Cedar Fair operations. This decrease reflects $11 million less in merger and integration-related costs, offset by slightly higher advertising spend in the fourth quarter of 2024. The $58 million of cost of goods sold in the fourth quarter included $26 million related to legacy Six Flags operations. As a percentage of food, merchandise, and games revenue, cost of goods sold in the quarter increased 170 basis points. The majority of the increase related to the inclusion of operations at the legacy Six Flags parks. Turning to adjusted EBITDA and modified EBITDA margin, two metrics which management believes are meaningful measures of park-level operating results. Compared to the fourth quarter last year, adjusted EBITDA for the fourth quarter of 2024 increased $120 million to $209 million, while modified EBITDA margin improved 650 basis points to 30.4%. The increase in adjusted EBITDA reflected $113 million from legacy Six Flags operations, and a $7 million increase from legacy Cedar Fair operations, including the impact of the fiscal calendar shift. The 650 basis point increase in modified EBITDA margin included a 410 basis point increase related to the legacy Six Flags operations and a 240 basis point increase from legacy Cedar Fair operations. As we've noted on prior earnings calls, in addition to improving demand and guest spending, we remain focused on driving operating efficiencies and improving margins. We are pleased to have realized approximately $50 million in gross cost synergies in 2024. Of the total synergies achieved, $34 million was the result of labor and other operating efficiencies, $8 million came through savings from economies of scale in our supply chain, and another $8 million resulted from eliminating duplicative overhead costs. We've effectively delivered these synergies while at the same time improving guest satisfaction scores and continuing to drive higher attendance levels. This has resulted in improvement in both cost per guest and EBITDA per guest, two key performance metrics that our teams closely monitor. During the fourth quarter, adjusted EBITDA per guest from legacy Cedar Fair operations improved by 10%, reflecting the ongoing successful execution of our cost savings initiatives. In 2025, we are confident in our ability to deliver another $70 million in planned cost savings from the merger, anticipating that approximately $20 million will be driven by further streamlining of our org structure, $30 million will be realized through rationalizing our vendor base and continuing to leverage our scale to negotiate better terms, and $20 million will come from a combination of further elimination of redundant processes, the integration of overlapping technology systems, and the rightsizing of our park infrastructures and ride portfolios. We will keep the market updated on our progress toward delivering these cost savings throughout the year and continue to look for opportunities to drive additional cost efficiencies as we implement our strategic initiatives. Now turning to the company's balance sheet for a moment. We ended the year with $83 million of cash and cash equivalents on hand, approximately $5 billion of gross debt, including $315 million in borrowings on our revolving credit facility. Of our outstanding debt, approximately three-quarters is fixed through long-term notes, and outside of $200 million in senior notes, which mature in July of this year, we have no significant maturities before 2027. Including cash on hand and available revolver capacity, liquidity at the end of the year totaled $578 million, providing us with ample financial flexibility going forward. Deferred revenues at the end of the year totaled $308 million compared with $192 million of deferred revenues at the end of 2023. The $117 million increase includes $123 million of deferred revenues at the legacy Six Flags parks, offset by a decrease of $6 million at the Legacy Cedar Fair parks. The decrease in deferred revenues at the legacy Cedar Fair parks reflects the annual amortization of certain long-term deferred revenue items, the elimination of transaction fees in California as a result of changes in state regulations, and lastly, a slight decrease in sales of season passes and related products driven by two parks. The modest decline in season pass sales is primarily a timing issue that can be recovered during the critical spring sales cycle, which historically represents more than 50% of full program sales. Along those lines, as Richard mentioned, we are encouraged by the acceleration in season pass sales to start the year. The 3% lift in unit sales over the first two months of the year has been primarily driven by increased sales at our legacy Six Flags parks, validating that our initiatives are working and setting the stage for driving higher attendance levels at those parks. Regarding our CapEx programs, during the fourth quarter, we spent $93 million on capital expenditures, including $53 million at the legacy Cedar Fair parks and $40 million at the legacy Six Flags parks. For the full year, this brought total capital expenditures at the legacy Cedar Fair parks to $220 million and full year CapEx spend to $215 million at the legacy Six Flags parks, $115 million of which was invested by Legacy Six Flags before the merger closed. We will total $475 to $500 million, including some level of investment on deferred items at the legacy Six Flags parks. Going forward, we will continue to look for ways to most efficiently manage our capital investments as we focus on maximizing the company's free cash flow. For additional modeling purposes, in 2025, we are planning 5,852 total operating days, similar to the 5,851 operating days across the combined portfolios in 2024. For 2025, we are projecting full year depreciation and amortization of approximately $450 million, which reflects the impact of fair value adjustments to the legacy Six Flags assets as a result of the merger. And lastly, from a cash flow perspective, we are projecting annualized cash interest payments in 2025 of $305 million to $315 million and after some additional tax planning efforts, annualized cash tax payments of $105 to $115 million. We will continue to manage cash flow tightly and consistent with the objectives within our long-term strategic plan, we expect to accelerate the growth of free cash flow as EBITDA grows and as our CapEx needs moderate. Before I turn the call back to Richard, let me provide some additional color around our new 2025 adjusted EBITDA guidance. While we are confident we have the initiatives and capital program in place to achieve our revenue growth and cost savings targets, we are keeping an eye on two developing macro factors. First, although the recent wildfires in California have subsided, we are closely monitoring any residual impact these events may have on our Southern California parks. Knott's Berry Farm and Magic Mountain are two of our highest EBITDA properties, and any material headwinds on season pass sales or general demand could have an impact on our overall performance in 2025. Second is the impact foreign currency exchange rates could have on the reported results from our non-domestic parks. Based on the current outlook around exchange rates, we've assumed approximately $7 to $8 million of incremental FX pressure on EBITDA in 2025 compared to 2024. However, any significant variability from our assumptions could further impact our US dollar reported results this year. With that, I'd like to turn the call back over to Richard.
Richard Zimmerman: Thanks, Brian. Before we open up the call for questions, I want to take a moment to provide our perspective on what lies ahead, including the incredible opportunity we have in 2025 and beyond. It has been my long-held belief that sustainable growth in this industry requires two fundamental factors: disciplined, thoughtful leadership with an unwavering guest-centric focus and the consistent reinvestment of resources. To that end, our strategic plan is designed to drive higher attendance, improve guest spending, and optimize operating efficiencies, all while ensuring we deliver world-class entertainment experiences. The potential for attendance growth at our parks is significant and represents the biggest opportunity for sustainable cash flow growth and shareholder value creation. The investments that make up our 2025 capital program are the first of a multiyear plan designed to enhance the guest experience and increase demand, improving market penetration rates throughout our portfolio. In addition to projects and initiatives intended to increase guest spending, eliminate consumer pain points, and improve back-of-house efficiencies, we are investing in exciting new demand-driving attractions at some of our largest and most profitable parks. All told, we are introducing major new attractions at eleven of our fourteen largest parks. For example, Cedar Point is adding to its world-class collection of thrill rides with the addition of a record-breaking tilt coaster called Siren's Curse. The highly anticipated return of Top Thrill 2. Two rides every coaster enthusiast needs to experience. Six Flags Great America introduces Wrath of Roksha Shaa, the world's steepest dive coaster and the first major new coaster added at the park in more than six years. Canada's Wonderland is adding Alpine Fury, Canada's tallest and fastest launch coaster, which will be located in the park's iconic mountain structure. Six Flags New England will unleash the region's first multi-launch straddle coaster called Quantum Accelerator. Adding to its collection of thrill rides, King's Dominion is introducing Raptorra, the world's tallest and longest launched wing coaster. Six Flags Great Adventure will open Flash Vertical Velocity, a launched super boomerang coaster, which will greatly enhance the park's front gate area. Six Flags Over Georgia will debut Gold Russia, a unique free-spinning high-speed high-elevation gondola ride that will be the first of several new rides we plan to add to the park as we look to tap the full potential of the very attractive Atlanta market. And lastly, to help expand our appeal to young families and set the stage for our growing season pass base, we have invested in transformational makeovers of the Hurte and Six Flags Over Texas, while also expanding and enhancing the family offerings in Camp Snoopy at Carowind and the DC Universe at Six Flags Fiesta, Texas. It's a strong capital lineup, and I hope you can tell why we are so excited about the season ahead. I also want to provide an update on our ongoing portfolio optimization efforts. As we noted on our last earnings call, as part of Project Accelerate, we initiated a comprehensive review of our properties, including excess and undeveloped land, with the goal of optimizing our asset base, narrowing management's focus, and reducing risk. We've completed our initial review, having identified properties that are less strategic and critical to our long-term growth objectives. Properties that we would consider divesting under the right circumstances. These include some of the smaller non-core parks as well as excess undeveloped land that isn't critical to future expansion plans. As an example, we are currently in the process of marketing undeveloped land adjacent to our park in Richmond, Virginia. And I'm pleased to say that these efforts have produced significant interest. Although there is still much work to be done, we are optimistic that our ongoing discussions will result in a transaction within the next twelve to eighteen months. Regarding certain smaller non-core properties, we are continuing to evaluate options, and over time we will consider transactions that enhance shareholder value. In the meantime, we are excited at the prospects of operating all forty-two of our parks this season. We will continue to pursue initiatives to further enhance the performance of these valuable and unique assets that will not only contribute to our financial results but also support the local communities in which they operate. Consistent with those efforts, we are taking decisive steps to unlock the full potential. The positive impact of our initiatives is already evident in better guest satisfaction scores, higher attendance levels, and improving operating margins, all of which reinforce our confidence in delivering on our ultimate goal of driving long-term growth and free cash flow. With momentum at our backs, we have a tremendous opportunity to showcase the resiliency and strength of our business model in 2025. As we head into the peak operating season, we do so with confidence and excitement for what lies ahead. We have the right strategies and team in place, and we see a clear path to success. We are focused on building on the momentum we've established as well as delivering an outstanding 2025 season for our guests, associates, and shareholders alike. We look forward to sharing more details on our outlook for the season ahead and our long-term strategy at our upcoming investor day on May 20th at Cedar Point. This event will provide attendees with an in-depth look at how our strategic initiatives are transforming our operations and enhancing our performance across the combined portfolio. Our Investor Relations department will be providing additional details about the event in the coming weeks. Before we open up the call for questions, I want to take a moment to express my sincere gratitude to our teams across all forty-two parks, as well as our resort properties, for their unwavering dedication and hard work during this pivotal period of transition. Their efforts, whether supporting local first responders during the California wildfires, seamlessly integrating our IT systems, or delivering exceptional service to millions of guests, have been nothing short of extraordinary. Their passion and commitment are the driving forces of our success. Novi, that concludes our prepared remarks. Please open up the line for questions.
Operator: We also ask that you please limit your questions to one question, one follow-up. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Steve Wieczynski with Stifel. Please go ahead.
Steve Wieczynski: Yeah. Hey, guys. Good morning. So Richard or Brian, you know, as we think about guidance for this year, just wondering if you could help us from a high-level perspective, kind of, you'll help us think about what's embedded or what are some of the assumptions that are embedded to get to your guidance range? Meaning, you know, you know, how you're thinking about attendance, you know, how you're thinking about per caps. You already gave us some of the metrics around the cost side of things. So I think we're good there. And then just, you know, just want to be sure that the fifty-five million, like, attendance target you laid out for 2027 is still in play at this point.
Richard Zimmerman: Steve, good morning. Good question. Let me jump in here, and then Brian can comment on some of the specifics. You know, as I think about this year and understanding our need and our and what we've articulated, driving top-line revenue growth while being as efficient as possible. I step back in my prepared remarks and think about the capital lineup. You know, I think the capital lineup gives us an opportunity to get more to drive market penetration, which we're focused on. As that shows up during the second and third quarters, you know, our biggest quarters in the back half of the year, I think about getting people to come to the parks more often and I think about them staying longer. Everything we're doing is trying to tap into making the parks more comfortably crowded. We think more comfortably crowded leads to, you know, higher revenue levels, good flow through to EBITDA, and considerable free cash flow growth. Brian?
Brian Witherow: Yeah. Just to add on to Richard's comment, Steve, you know, any year we go in and build one of these plans, I would tell you sort of our level assumptions are that weather patterns are generally going to be normal. We don't know, build in expectations for, you know, extreme events. It doesn't mean every day is going to be eighty-two and sunny either, but the weather patterns are going to be normal now. I think that a more diversified portfolio we saw over the second half of the year helps mitigate some of the risk that does come with the macro effects of weather. We've also assumed that there's no meaningful downturn in a broader economic environment or consumer behavior. And as we said on the call, you know, while there are some expected pressures from a decline in FX rates, we're, you know, what we've assumed to this point is that those don't decline significantly from where they currently stand. Then as it relates to, you know, your account about inflation or cost pressures, you know, we've built a plan that generally offsets a normal level of inflation. So I think the range that we've provided allows for some fluctuation in each one of those things, both up and down, to get to the high end or the low end of the range.
Steve Wieczynski: Okay. Let me yeah. So okay. So that was going to be kind of my second question. Let me ask it a little bit differently and see if you give any different color. I'm guessing not. But no. So it sounds like, okay. You know, to get to the midpoint of that range, you know, weather is essentially normal. There's not a material impact from California. FX kind of stays neutral. Am I kind of thinking about that right? So, you know, if we got to the low end of that range, weather probably kicks in. Maybe there's some pressure from California, FX, and then the high end. Spend patterns are probably a little bit better than what you're expecting. Am I I'm kind of talking out loud here, but is that kind of the way to think about how you get from the low end to the high end?
Brian Witherow: Yeah. I think it's generally accurate. I think consistent with what Richard said that I mean, the real upside and opportunity of the merger has always been the ability to leverage step functions and attendance. And as Richard noted, you know, growing attendance, you know, not only is beneficial from a volume perspective, it's highly beneficial from a guest spending perspective because as we've, you know, talked about and articulated in the past, larger days comfortably crowded parks lead to longer length of stays, higher per caps, a higher level of demand for premium experiences like front-of-line passes, cabanas, VIP lounges, etcetera. So I think that the way you describe it, Steve, is pretty accurate. Right? The upper end is going to require more growth out of attendance, which translates into more guest spending as well.
Steve Wieczynski: Okay. That's great color. Thanks, guys. Appreciate it, and best of luck.
Brian Witherow: Thanks, Steve.
Operator: Your next question comes from the line of James Hardiman with Citi. Please go ahead.
James Hardiman: Hey. Good morning. So Richard, I wanted to touch on some of the discussion that you brought up in terms of the portfolio optimization efforts. Maybe walk us through how you're going to be thinking about, you know, as you put it, value creation when it comes to maybe monetizing some of the smaller parks. You know, what's the framework? Does the fact that leverage is higher than normal and cash flows are pressured sort of change your willingness to part ways with some of those parks? And I just looked back at the deal that you made for Great America. However long ago that was. Basically, you had a high real estate value and a low EBITDA contribution from that park, which made it a gold mine in a lot of ways to monetize. Is that sort of how you think about the puts and takes in terms of individual parks and your willingness to maybe monetize?
Richard Zimmerman: Thanks. You know, a lot of things portfolio optimization becomes a strategic decision. We're trying to accomplish a lot of things over the next few years. James, so as we think about it, you know, it starts with understanding that these are unique and very valuable assets. They are irreplaceable. Most parks don't trade very often. You know, as we saw with Great America, there was great real estate value. Now that usually comes to the forefront in areas that are more populated, but sometimes there's unique circumstances like our park near Richmond, Virginia, where we've got excess land that is available that's not generating cash flow or EBITDA for us that we can find a way to generate a little bit of cash flow. Not unusual. We did that back in 2008 as well, and on the legacy Cedar side, we sold some 80 acres north of our Toronto park. So as we think through the framework, we want to make sure we understand what role each park plays in the broader portfolio. As we said, part of this is potentially reducing the complexity of our operations, but we like the geographic diversification. So as we think this through, we're going to keep all the strategic and financial goals in mind and make sure that whatever decisions we make going forward, we get value for anything. Dot net. Potentially, we may optimize, but that also that it accomplishes what we need to do going forward. And that we get to the long-term guidance that we have laid out and we will lay out on May 20th. Brian, anything you want to add?
Brian Witherow: No. I mean, I would just maybe emphasize again that, you know, the focus right of optimizing the portfolio or that exercise, James, it was really about narrowing management's focus, reducing risk, and optimizing the overall asset base as we've talked about in the past. Relative to just the legacy Cedar side of the portfolio, and it's true on the Six Flags side of the portfolio. Ninety plus percent of the EBITDA is generated from a smaller group of parks. It's not spread evenly across the thirty-one locations of the forty-two gates. And so, you know, I think as we think about, you know, as Richard said, tapping into the growth potential, narrowing our focus to where the opportunities are and the returns are the highest is going to be important. And part of that is also the step you saw us take in terms of the notice to acquire the outside non-controlling interest in the Atlanta Park, Six Flags Over Georgia, as that's a very attractive market in our long-term growth priorities.
James Hardiman: Got it. And then there's been a lot of discussion on the $120 million of cost synergies. Maybe give us an update of the, you know, once upon a time, at least it was $80 million of revenue synergies that you guys. What, if anything, has been realized so far on that front? Has that number moved around at all? You know, how should we be thinking about timing? And then maybe, you know, more specifically, to call out one potential synergy opportunity, that all passport pass, I think it's called, early indicators of how you ultimately think that's going to be and what it can contribute. Thanks.
Brian Witherow: Yeah. So it relates, James, to the revenue synergies. I guess two points I'd make there. First is you're not closing the merger until mid-2024, you know, sort of, you know, put us maybe a year behind on the revenue synergies side because so much of the opportunity there, you know, ties back to some system integrations, getting on common ticketing platforms, etcetera. You know, unlike cost synergies where we could sort of pick up midstream, at least a good chunk of them, it was a little more challenging on the revenue. So we still are optimistic and confident in those numbers, but what I would say is I tie back to an earlier comment. You know, the real opportunity and focus of the merger is the attendance opportunities. And come of the combined portfolio, which represents much more upside than that $80 million revenue synergy number that was discussed in the S-4. Probably half or maybe a little bit more than half of that was tied, as you noted, to, you know, the potential for the all-season park add-on pass. Then I would say, you know, this is the first year, right, that that's out there for the combined portfolio. Early adoption has been encouraging, but it's still very early. And so there's a lot more work to be done there. So we're going to be focused on initiatives like that over the next year or two, harmonizing systems and trying to extract the full value of something like that. But I think, really, what the team is most focused on again is that broader attendance opportunity and what that can mean for the combined portfolio.
James Hardiman: Got it. And just if I just may, just one clarification. As I think about whether it's that, you know, $80 million in synergies or the all-park pass, what, if anything, from either of those is built into the guidance that you've laid out today for 2025?
Brian Witherow: Anything related to the all-park pass, the expectation for 2025, given that we're still in the process of harmonizing ticketing systems, is very modest. More of the growth is coming from the other initiatives that we began to see even in the second half of 2024 and the capital program that, you know, Richard walked through some of the highlights of that. That's more the driver behind the attendance growth that we're expecting in 2025.
James Hardiman: Got it. Thanks, Brian. Thanks, Richard.
Richard Zimmerman: Thanks, James.
Operator: Your next question comes from the line of Matthew Boss with JPMorgan. Please go ahead.
Matthew Boss: Great. Thanks. So, Richard, on the top line, could you elaborate on the cadence of attendance that you saw in the fourth quarter versus October? And just relative to 3% attendance in 2024 as a whole, just how best to think about growth drivers in 2025, any puts and takes between volume and per caps.
Richard Zimmerman: Yeah. You know, I think about the fourth quarter, again, we got great traction. A little bit choppier on the weather front as we got into November and December. But as Brian said, as we pointed out, the benefit of our now combined portfolios were geographically diversified. So weather has less of an impact on the overall portfolio, more concentrated in different areas. We saw, as we've always seen, good response to our holiday in the park events or our winter fest events, depending on which market you're in. It's a multi-generational appeal, brings a different kind of audience. Also helps us support our season pass sales as we go through the winter period. What I'm most encouraged about fourth quarter transition in 2025 is the 2% up in attendance early in the first couple of months, you know, as we look at the momentum. The 3% in season pass sales, particularly as I watch them day by day, which we do, and we're starting to see exactly what we'd want to see to see that the momentum is continuing as we go into 2025. So as we get into the spring times, start opening up our parks, I think we've got lots of stories to tell in each of our respective markets. Things that'll drive the attendance, which again, we'll keep reiterating, we think is the mark, you know, capturing market potential, driving attendance levels higher. That's the real benefit of this merger and where we think the most opportunity is. But as we get into the springtime, I think there's a lot of interest in our parks opening up again. A lot of intrigue with what potentially may be new, and we've got a lot of things we can share with the market as we get into that. So and I would always say this about our business model. The higher the attendance, let me pressure the admission per cap a little bit because when we are 55% to 60% season pass, that's how the math works. But the higher the attendance levels, the better the revenue number, and the better the EBITDA. The more people we can put on days we're already open, those are higher margin guests, and that's what really drives our performance.
Matthew Boss: Great. And then, Brian, on the cost side, where do you see us today on the multiyear OpEx cost curve as we're thinking about legacy Six Flags? Just thinking operating expense growth relative to revenues multiyear.
Brian Witherow: Yeah. So when we look at the portfolio, we've been very clear coming into this past year, 2024, before the merger closed on the Cedar Fair side, we had gotten to the point in our playbook where we had reestablished demand. We had gotten back nearly back to pre-pandemic attendance levels, and our focus had turned towards optimizing that cost structure. We took big steps forward, as we mentioned, $50 million of cost synergies in 2024. That was probably general split about two-thirds at our legacy Cedar parks, maybe a third of those synergies at the Six Flags parks. And so there's more work to be done on that front. You can't get it all in one fell swoop, and nor do you want to from a guest service perspective. And so it fits into our target of delivering $70 million of gross cost synergies as we get into 2025. Again, a lot of that, as we talk about, is going to come from the field and optimizing cost structures, leveraging scale. You know, as we think about the Six Flags parks in our portfolio, they've been more efficiently run there. So it will probably against you a little bit more heavily on the Cedar parks. But feel pretty confident with the plan that we have in place. And any pressure on it, at this point, is in our view, is going to be more volume-driven, and that'll be a good problem to have. Right? If we have some more variable cost in the system because attendance growth is even better than planned, or is it the high end of what we're targeting? That's a type a problem that we'll manage.
Matthew Boss: Great. Best of luck.
Brian Witherow: Thank you, Matt.
Operator: Your next question comes from the line of Thomas Yeh with Morgan Stanley. Please go ahead.
Thomas Yeh: Thanks. Good morning. Wanted to get your updated thoughts on the attendance opportunity as it relates to the operating calendar piece of it? I mean, you talked about comfortably crowded, but I think previously, you also mentioned opportunities to enhance the season pass holder value and add days at the margin that would be EBITDA positive. I think your guide is for a similar number of days versus last year, so just maybe dimensionalizing your puts and takes around the calendar would be helpful.
Richard Zimmerman: Yeah. In broad strokes, you'll see a few more days being added to the second and the third quarters. And a few less days in the fourth quarter. So we're shifting the days, taking out some lower margin days in the fourth quarter. And establishing a little bit longer hours, but also, you know, adding some calendar dates in the mid of the summer where some of the parks were closed early on.
Thomas Yeh: Okay. So the balance of that suggests that on a net basis, you're still getting higher value days on a per day basis, it seems.
Richard Zimmerman: Correct.
Thomas Yeh: Okay. Understood. And then maybe just an update on season pass pricing. I mean, you rolled out, I think, a different, more consistent method on pricing for the legacy Six Flags footprint. Is the view that on balance, you still want to end up higher on blended pricing for season pass units sold or maybe a focus on just growing the base earlier on?
Richard Zimmerman: That's our goal. And every year, you know, we try and drive the higher volumes, take price in the markets where we can. We always acknowledge that the capital lineups give us pricing power. But one of the things that as you evaluate this year over year, there was a if you look at the prior year, yeah, it was not the same approach on the legacy Six Flags side. So there'd be a higher price for a period of time, a lower price for a period of time. We're rolling over all those things and really retraining the markets in terms of what the program will be. But, again, even as we look at the most recent trends, up 3% in the first two months, really encouraged by the sales that are going on broadly across the Six Flags marketplaces and those markets. As we think about the combined portfolio, I think season pass continues to be the driver of our success. There's so many reasons, particularly in an environment where the consumer has more choices. So many reasons to buy the pass. And we just, as I said earlier, we just want to make sure that we understand people that there's lots of reasons to come out early, come out often, and stay longer.
Thomas Yeh: Appreciate the colors. Thank you.
Brian Witherow: Thanks, Thomas. Thanks, Dennis.
Operator: Your next question comes from the line of Chris Woronka with Deutsche Bank. Please go ahead.
Chris Woronka: Hey, guys. Good morning. Thanks for taking the question.
Richard Zimmerman: Hey, Chris.
Chris Woronka: So this would be a little bit of a follow-up to the prior question. That it's possible to, you know, to kind of assume or, you know, speculate that Six Flags pass holders might be legacy Six Flags pass holders might just be delaying their buying decision. They know that there's been a, you know, a change in ownership of the park and they maybe want to see what happens when these things open in April. And I don't know if you can remind us of the kind of mix of, you know, what you get after the park's open in terms of pass sales, but just say, is it reasonable to assume that you might get some uplift from the legacy Six Flags visitors later in the season this year?
Brian Witherow: Well, I think maybe just level for a second, Chris, to your point. You know, in terms of timing, we always like to get off to a fast start, right? Fall, winter sales, it's great to get ahead of the game. And, you know, as we said, we're encouraged by the early momentum we're seeing on the Six Flags side. And it can differ park to park, but that fall winter sales period, you know, can often be as much as 25% or 30% of the full program. You know, that said, the core of the sales or the largest portion of the sales happens during the critical spring cycle, which is, you know, for some parks as much as 60%, usually somewhere between about 50% to 60% of full program sales. So that's most critical. I think in any, you know, consumer decision, you know, what we've seen historically is that, you know, guests are looking for proof points. You know, I always see a little bit more momentum in season pass sales. The reason that spring is such a driver is we're a little heavier in market. With advertising, amusement parks are coming back online. We're a little bit more front of mind. And so, you know, we do believe that the changes that we made in the second half of 2024, you know, within the parks, operating more rides, staying open a little bit longer, you know, some of the cleanup work that we were doing, painting of attractions, etcetera, all of those things start to become proof points for the consumer that, you know, things are going to be different, and there's a reason to buy and come. Now the key for our teams is not only selling more passes, but then also converting that into more visits per pass. We've talked about the delta between average visitation between the two sides of the combined portfolio and the opportunity presented there, you know, that will ultimately, you know, tie it back to Thomas's question about pricing. Our ability, you know, we're really excited about the long-term opportunities to grow season pass pricing at our parks, particularly at the Six Flags parks. Because there is a big delta. We've talked about it publicly. You know, average season pass price at a Six Flags park in our portfolio is in the low to mid-seventies. At Cedar Fair Park in the portfolio, it's $110, $115, and a big driver behind that is the delta in the average visitation. So this isn't a one-year fix or a one-year growth story. This is just year one of the growth story.
Chris Woronka: Okay. I appreciate all that commentary. Just as a follow-up, this is kind of a CapEx question. And you've provided the guidance for 2025 now. Where do you think you are in terms of, as the parks begin to open in April, where do you think you are on the kind of the catch-up maintenance, some of the maintenance CapEx that wasn't done over the years versus some of the more structural changes you're trying to make in terms of food and beverage outlets and things like that? If you can just maybe break those buckets down a little bit for this year. Thanks.
Richard Zimmerman: You know, Chris, one of the things that we've seen when we have parks that are performed well over the arc of their development is that consistent investment matters as much as what you invest in. As we think about 2025, 2026, 2027, it's that ability to show the guest there's something new, come on out, we're making changes. We're certainly redesigning the landscape. We put things in. We take things out. We focus on making sure that we're driving and evolving our ability to service folks once they get into the park. That's been the key to driving our in-park revenue. So as we think about it, I would say that I'm really pleased with what I think we're going to get out of the 2025 capital lineup. I'm excited for the changes we can make in 2026 and increasingly in 2027. So in all of our markets in the combined portfolio, not just the Six Flags, I think we're going to show the consumer that there's great value. And, again, always go back to what drives our investment decisions is listening to our guests, doing that consumer research, and making sure we're investing in the things that they'll give us credit for and that will create a higher perceived value. You know, keeping that value, that price-value equation in mind, make sure we're working on the value side of it, as Brian said. That's key to driving price over the long term while still getting the attendance lift.
Chris Woronka: Okay. Very good. Thanks, guys.
Richard Zimmerman: Thanks, Chris.
Operator: Your next question comes from the line of Michael Swartz with Truist Securities. Please go ahead.
Michael Swartz: Hey. Good morning, guys. Maybe just to start, I think I'm doing the math correctly, you know, the legacy Six Flags parks grew attendance about 16% year over year in the fourth quarter. I as I understand, there were, you know, so I think you said something like 15, 20 extra operating days for those parks around the holiday. Is there any way of looking, you know, like, on a like-for-like day basis what the attendance growth looked like?
Brian Witherow: Yeah. Mike, it's Brian. On the Six Flags side, there wasn't a at those parks in the portfolio, the operating day delta was not the main driver. I think what we would say the core driver of the lift in attendance was, you know, the execution successful execution of a great plan to invest heavily in and expand the offerings of the Fright Fest events, which was received very well. That was just lifted by the fact that the five weeks of October were some great weather across the portfolio across the country, you know, all the parks in the portfolio. So, you know, we're very encouraged. Your numbers are pretty close. It was a mid-teens lift there, and like we talked about on the Cedar side, if you normalize the fiscal calendar shift, it was a high single-digit increase. The bar was a little bit lower at our Six Flags parks, 2023, October was disrupted by a lot of inclement weather, particularly on the East Coast, and so our comparisons were favorable weather-wise. That wasn't as much of a headwind at our Cedar legacy parks. So we're really pleased about that high single-digit increase at those parks.
Michael Swartz: Okay. That'd be great. Thank you. And speaking with I think per caps, it came in a little softer than what we thought. Maybe many in the street thought. Just maybe walk through some of the puts and takes there. Was currency an issue? Was park mix a factor as well?
Brian Witherow: Yeah. It always comes down to, I think, some of those things, right, Mike, which is your park mix and the performance can play into it. I will say, admissions, anytime you see that kind of lift, and Richard alluded to earlier, you know, when attendance is up that strongly, you know, near double digits or in the case of the Six Flags parks, in a month like October, you know, mid-teens. A lot of that's coming from lower admission per cap channels. That's I don't mean to say that in a bad way, it's season pass. It's, you know, it's maybe more groups. It's great attendance and revenue to have, but it does put pressure on admissions per cap. So we saw a little bit of admissions per cap pressure, but as we said, we saw in-park spend for a lot of the reasons that we articulated earlier on the call increasing. Right? Parks being a bit more crowded, people stay a little bit longer, they spend more when they stay longer. They buy the premium experiences, and so all of that worked in our favor. We did see a little bit of headwinds around FX in both Canada and Mexico, and, you know, that's consistent with what, you know, our prepared remarks, you know, my comments during that part of the call where, you know, we know where we ended the year in terms of exchange rates. Yeah. There's erosion from where we began the year. Now, hopefully, that's stabilized, but we'll see how it goes as we roll into 2025.
Michael Swartz: Okay. Great. Thanks, Brandon.
Operator: Your next question comes from the line of David Katz with Jefferies. Please go ahead.
David Katz: Thank you. Hi. Good morning, everybody. Thanks for taking my questions. Two quick ones. I know you've talked about some of these items. But I'd love a little more perspective on, you know, where you are so far with respect to technology. And, you know, your ability to sort of capture data and, you know, put that to productive use. And then my second, you know, one for Brian is just going back to the guidance. Which does not include any weather events. And this is a question for so much of our coverage. You know, is there not, you know, a new normal that includes some abnormalities? Just wondering how you thought about that. And zero snarkiness intended in that portion of the question. Thanks.
Richard Zimmerman: Let me take the first one. I'll let Brian take the second one. Thanks, David. You know, as we look at what coming in this merger, one of the things we're very excited about and that we focused on for the last several years is building out our business, our reliance on data, and making sure we can get to the data. That has been a priority after we completed the merger. You know, even though we don't have everybody all harmonized on the same systems, we found ways to extract the data. And in our weekly business performance meeting that we hold every week on midweek, make sure we're evaluating the same type of data and the same data across all of the combined portfolio. So that's been a priority for us. You know, we really are now using new KPIs that twenty years ago we didn't focus on. Transactions per guest, average transaction value. We're, you know, making sure that we're balancing out the NPS, the OSAT, the guest satisfaction scores with our ability to drive revenue, with our ability to drive the business. So I would say that's that we're going to continue to make progress on that in 2025. Data and the analytics around it are how we make decisions, and we've embedded both the art and science into our weekly cadence as we go through the an operating season. Brian?
Brian Witherow: Yeah. David, as it relates to the weather, guess let me clarify my earlier comment. The midpoint of our range would assume what we would characterize as a normal operating year from a weather perspective. And by that, we mean we're going to have some headwinds from weather. It's going to rain on days. It's going to, you know, not be ideal. The forecasts aren't always going to be in our favor. But those tend to average themselves out, and as we noted, in a much more diverse geographically diversified portfolio, now it's combined company, we think that helps mitigate that risk. What we haven't tried to do is be any smarter than we can be and predict when a hurricane is going to hit and which market it's going to hit. We know those things tend to happen to the extent that they're ahead of, you know, historical sort of trends, that pushes you towards the lower end of the range. To the extent that we get better weather like we saw in October. Right? I mean, the record October performance is one where our weather backdrop was outstanding. And so from that perspective, the upside comes into play. So that's how we think about weather, you know. And I think the other last thing I could say would say on that front, David, is why we're so focused on things like growing season pass sales. Group bookings, hotel reservations. Those are all natural weather hedges when it comes to visitation.
David Katz: That's really helpful. Thank you.
Richard Zimmerman: Thanks, David.
Operator: Your next question comes from the line of Lizzie Dove with Goldman Sachs. Please go ahead.
Lizzie Dove: Hi there. Thanks for taking the question. And sorry if I've missed this by line dropped for a second. But just on the first quarter, just thinking about, like, the calendar shift impacts, whether that's from, you know, Easter, leap year, any operating day aspect, when New Year's Day fell, and things like that. Just trying to think of I know there's a lot of calendar shifts over the past year that have kind of muddied the waters a bit. Just what we should kind of bear in mind for the first quarter.
Brian Witherow: Yeah. Lizzie, it's Brian. So, I guess what I can say at the top is I'm very excited to say that we don't have any fiscal quarter calendar comparability issues like we had this past year. So hopefully, that's going to make life a little bit easier as we go through. That said, you know, in any calendar year, there's always some shifts. Easter is going to fall later this year, shifting from Q1 to Q2. Just at a high level, I would say that later timing historically has benefited us with, you know, maybe as you get a little bit deeper into the calendar, weather volatility, you know, starts to lessen a little bit. Early Easter is always a little bit more challenging from a weather perspective, particularly, you know, at a handful of the parks that aren't located in markets like California or Texas. You know, that said, don't want to put too much emphasis on, you know, the timing of Easter because it again, it's a fraction of our full portfolio of parks that are in operations, so it's not a huge difference. By the time we announce first quarter numbers, we should be in a position, you know, we'll to provide guidance or provide an update on where results are through April, which will help hopefully wash out any of those timing issues. As we look at the balance of the year, you know, I again, going to have similar at least the plan is to have a similar number of operating days. We're going to focus, adding days, more valuable times of the year and taking days out at higher risk, less valuable times of the year. But from a quarterly comparison, you know, I think you're going to see, you know, less noise than you did this past year because fiscal calendar is lining up.
Lizzie Dove: Got it. That's helpful. And just to go back to the per cap side of things again, just thinking about, like, the legacy Six Flags, I think based on what you've said, you know, $124 million of revenue, 5 million attendees, it's, like, total revenue path up down. It's 5.5%. You said in-park was up, so I think that would imply admissions per cap was down, you know, somewhere in the high single-digit range if I'm thinking about that correctly. I know it's a light quarter, but just any way to think about that, is that the right way of thinking about the run rate for this year or anything unusual that happened there or just a function of, you know, higher season pass and whatnot?
Brian Witherow: Yeah. I'd say it's probably more a function of math and averages on a small slice of the business. I wouldn't say that's the expectation for a run rate for a full year 2025. Look, as Richard noted, if we get the attendance lift that we're targeting or even better, that will put pressure on admissions per cap. We call that a type a problem to have because with it is going to come a much higher attendance and revenue base, which is the ultimate goal. We are leaning in to price, you know, in certain markets. You know, the beauty about being a house of brands, you know, company, we don't have to price the same way in every market, and our strategies and approaches can vary part by part. You know, always informed, as Richard said, by the guest feedback we're getting. By the broader economic backdrops in each of our markets. You know, as we look to 2025, we are very clear. It's a volume focus. Drive season pass sales, increase group bookings, etcetera. And so, you know, when we typically look for or run the volume playbook, we're a little less aggressive on pricing. But that doesn't mean we don't take pricing. And so I think what we'd like to see is low to mid-single-digit increases in pricing in most of our markets, but to, you know, point about, you know, mix, that will impact, you know, where that ultimately lands. Both mix of channel and also mix of card performance.
Lizzie Dove: That's helpful. Thank you.
Brian Witherow: Thanks, Lizzie.
Operator: Our final question comes from the line of Isaac Sellhausen on for Ian Zaffino with Oppenheimer. Please go ahead.
Isaac Sellhausen: Hey. Good morning. This is Isaac Sellhausen on for Ian. Thanks for taking all the questions. I just had one here on attendance trends for the first two months here. Is there any way to quantify or understand the impact of the California wildfires on Knott's or Magic Mountain? And would growth potentially have been higher than the 2%?
Richard Zimmerman: Okay. Thanks for the question. I'll just say, listen, we only closed Magic Mountain one day for high winds. We're monitoring and, you know, certainly have seen the trends there. What I'm encouraged by is what I've seen out of that market over the last several days. And we watch it daily as well as weekly. So I think, you know, in any small slice, yes, if you get better weather, don't have these anomalous events, you're going to have higher percentage growth than what you see. But all in all, I feel really pleased with how we're starting out in all our markets right now. In with the momentum we've gotten, 2025. So I'll just keep my comments to the broader portfolio.
Isaac Sellhausen: Okay. Understood. Thanks very much, guys.
Richard Zimmerman: Thanks, Isaac.
Operator: I will now turn the call back over to Richard Zimmerman for closing remarks.
Richard Zimmerman: Thank you, everyone, for joining us on today's call. We look forward to your continued support and interest in our company. Brian, Michael, and I look forward to seeing many of you in person at our investor day in May or an Investor Conference later this year. Michael?
Michael Russell: Thanks, Richard. Feel free to contact our investor relations department at 419-627-2233. Our next earnings call will be in early May with the release of our first quarter results. That's the end of our call today. Thanks for joining us.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.